Operator: Welcome to the WESCO International, Inc. Fourth Quarter and Year-end 2014 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Dan Brailer. Mr. Brailer, please go ahead.
Daniel A. Brailer: Thank you. Good morning, ladies and gentlemen, and welcome to WESCO International's Fourth Quarter and Full Year Earnings Call. Participating in today's conference call are the following officers: John Engel, Chairman, President and Chief Executive Officer; and Ken Parks, Senior Vice President and Chief Financial Officer. This conference call includes forward-looking statements, and therefore, actual results may differ materially from expectations. For additional information on WESCO International, please refer to the company's SEC filings, including the risk factors described therein. Finally, the following presentation includes a discussion of certain non-GAAP financial measures. Information required by Regulation G with respect to such non-GAAP financial measures can be obtained via WESCO's website at wesco.com. Means to access this conference call via webcast was disclosed in the press release and was posted on our corporate website. Replays of this conference call will be archived and available through February 5 of this year. I would now like to turn the call over to John Engel. John?
John J. Engel: Thank you, Dan. Good morning, everyone. Our fourth quarter results reflect strong sales execution, along with continued improvement in our end markets. We delivered 8% organic sales growth, the strongest quarterly growth rate in the year, and our best results since the second quarter of 2012. For the third quarter in a row, we delivered sales growth in all 4 of our end markets. We were pleased to see the monthly sales momentum build across the fourth quarter, with October up 5%, November up 8% and December up 12%. On a full year basis, we posted record sales, profitability and earnings per share. I am very proud of the sales results and extra effort delivered by all our associates working together as a One WESCO team in serving our customers. We have strengthened our business over the past year, and we've enhanced our position in the global marketplace. Demand for our One WESCO value proposition is increasing and our growth strategy is working. Reestablishing profitable growth in our core business was our top priority for 2014. It's now been 1 year since we implemented a major organization change to accelerate our One WESCO strategy. As evidenced by our improving sales momentum, we're seeing the benefits of our new organization in executing our One WESCO strategy. Although I am pleased with the initial progress on our sales growth initiatives, operating margins were flat on a year-over-year basis and below our outlook. Expanding operating margin is our top priority this year, as we continue to build out our organization and execute our One WESCO sales, margin, productivity and LEAN initiatives. We have scheduled our next Annual Investor Day on March 5 in New York City, during which our management team will provide a comprehensive review of our One WESCO strategy, sales growth, margin expansion initiatives, along with our long-term financial and value-creation objectives. Invitations will be sent out soon, and we look forward to seeing many of you there. We continue to see positive momentum in our customer base, including favorable indicators in industrial and non-resi construction, which we expect will result in growth in our key markets this year. The decline in global oil prices presents uncertainties for the global economy but offers broader GDP expansion opportunities across our diversified end [ph] customer base. We're closely monitoring our customer activities as they've begun taking cost actions and we will respond accordingly if our business is negatively impacted. I'm happy to say our first quarter is off to a very good start, with sales up over 10% versus prior year and our book-to-bill ratio tracking above 1.0 at this point in January. Moving to Industrial on Page 4. We drove a return to growth in industrial in 2014, a significant improvement over our results in 2013. Momentum remained strong in the fourth quarter, with sales up 6%, driven by balanced growth across our industrial customer base. Fourth quarter bid and RFP activity levels for Global Accounts also remained strong and reached a record level last year. Leading indicators in the industrial market remain supportive, while customer trends of increased outsourcing and supplier consolidation remain in place. On to Construction on Page 5. We have positive construction momentum, with overall sales to construction customers up 5% in the quarter, driven by 13% growth in the U.S. and 4% growth in Canada on a local currency basis. This is the third quarter in a row of accelerating sales growth and the highest growth rate in Construction since the first half of 2012. Our backlog is healthy and provides support for the upcoming construction season. The pace of bidding activity is high, and leading indicators in the non-resi construction market support an improvement in activity levels this year. Moving to Utility on Page 6. Our Utility business continues to deliver above-market sales growth. Sales to our utility customers grew 8%, continuing the positive trend from the previous quarters. This marks the 15th consecutive quarter of year-over-year sales growth, driven by new wins and expanding scope of supply with our existing utility customers. In the fourth quarter, we were awarded a multiyear integrated supply contract with a large utility, providing generation, transmission, substation and distribution products and services. On to our CIG performance on Page 7. We drove a return to growth in CIG in 2014, a significant improvement over our results in 2013. Momentum was strong in the fourth quarter, with sales up 7%, driven by growth across our global customer base and marking the sixth consecutive quarter of year-over-year of sales growth. Our end-user focused One WESCO customer value proposition is yielding results. Finally, on to acquisitions on Page 8. As you all know, we completed 3 acquisitions in the first half of last year, and I'll tell you the integration of these businesses is going well. Free cash flow generation was strong in the fourth quarter and our financial leverage remained well within our targeted range. Our acquisition pipeline is robust and we plan to continue to strengthen our business by expanding our electrical core and by adding additional product and service categories to our portfolio. Scale matters in distribution, and we are building scale through our organic growth initiatives and ongoing accretive acquisitions. The free cash flow generation characteristics of our business, coupled with our strong balance sheet, support these required investments and our shareholder return objectives. Now Ken Parks will provide the details on our fourth quarter and full year results and our outlook for the first quarter. Ken?
Kenneth S. Parks: Thanks, John, and good morning, everyone. Our outlook was for fourth quarter consolidated sales growth in the range of 5% to 8% over the prior year. Fourth quarter sales reached $2 billion, an increase of 6.1% over the prior year and a record level for Q4. Workday adjusted organic growth of 8.1% and 1.6% growth from acquisitions were partially offset by 2 points of unfavorable foreign exchange impact as well as 1.6% for 1 less workday. The U.S. business grew approximately 10% organically compared to last year's fourth quarter, while the Canadian business grew approximately 4% on a constant currency basis. Pricing for the fourth quarter had a positive impact of approximately 50 basis points. Organic sales growth per workday accelerated as we moved through the quarter, with October up 5%, November up 8%, and December grew 12%. Sequentially, organic sales per workday were flat, and that's stronger than the typical trend we see as we move from Q3 to Q4 and was driven by increasing traction from our One WESCO strategy. Core backlog was down approximately 6% versus year-end 2013. Over that time period, U.S. backlog remained flat, while backlog in Canada declined 11% on a local currency basis. January is off to a solid start, with month-to-date sales growth above 10% overall. The U.S. is up double digits, and Canada is up high single digits on a local currency basis. The book-to-bill ratio also remains strong, with both the U.S. and Canada running above a 1.0. In October, we estimated that fourth quarter gross margin would be in the range of 20.4% to 20.6%. In our December outlook call, we indicated that we were continuing to see pressure on gross margins, and they would likely come in at the lower end of the outlook range. For the quarter, gross margin came in at 20.2%. That's up 20 basis points year-over-year but was short of our outlook range and down 10 basis points sequentially from the third quarter. Significantly stronger direct ship sales, particularly in December, negatively impacted the fourth quarter gross margin range. January margins month-to-date are tracking above December levels. SG&A expenses for the fourth quarter were $261 million compared to $249 million in the prior year. The increase was equally driven by the core business and the impact of acquisitions. Core SG&A increased, primarily due to higher employee-related costs but declined 20 basis points as a percentage of sales from last year's fourth quarter. Sequentially, fourth quarter SG&A decreased by approximately $11 million as a result of ongoing cost controls and incremental cost reduction actions that were implemented during the second, third and fourth quarters. Core employment at December 31 was approximately 0.5% lower than year-end 2013 and remained consistent with the end of the third quarter. In October, we estimated fourth quarter operating margin would be in the range of 6.4% to 6.6%. Operating profit for the fourth quarter reached $124 million. That's a record fourth quarter level and came in at 6.2% of sales. While up 30 basis points from last year, operating margin fell short of our outlook due to gross margin performance. Operating profit pull-through was strong at 52% and even stronger in the core at approximately 70%. The effective tax rate for the fourth quarter was 28.8%, slightly higher than our outlook, due primarily to the mix of profit between the U.S. and Canada. Sales for the full year grew to a record $7.9 billion, an increase of 5% year-over-year. Workday adjusted organic growth of 5.6%, along with 1.4% growth from acquisitions, was partially offset by 1.6 points of unfavorable foreign exchange impact and the 40-basis-point impact of 1 less workday. All 3 geographic regions grew organically in 2014. The U.S. grew approximately 7%, the Canadian business grew approximately 3%, and the rest of the world grew approximately 6%. Full year gross margin was 20.4%, down 20 basis points from 2013. Gross profit grew $66 million to $1.61 billion for the year. SG&A expenses for the full year were $1.08 billion, an increase of approximately $44 million over the prior year. Core SG&A for the year increased $24 million or approximately 2%, while acquisitions contributed the remainder of the growth. Core SG&A as a percentage of sales declined 20 basis points from 2013. Operating profit for 2014 grew 5% to a record level of $466 million. That's 5.9% of sales, with the impact of the gross margin decline being offset by operating cost leverage. Operating profit pull-through was 33% on a consolidated basis and approximately 45% on the core. Our effective tax rate was 28.3%, and that was in line with our outlook. Net income for the fourth quarter grew to $74.5 million, and earnings per share were $1.40, both up 11% over the prior year. Organic growth contributed approximately $0.22 to EPS, while acquisitions and a slightly lower diluted share count each added $0.01 to the fourth quarter EPS. Foreign currency translation, primarily in Canada, reduced EPS by approximately $0.04, and the higher tax rate reduced fourth quarter EPS by approximately $0.06 a share. Full year net income grew 4% to $276 million, and EPS reached a record $5.18 compared to $5.02 per share in 2013. Organic growth contributed approximately $0.42 to full year EPS, while acquisitions added another $0.07 to the year. Foreign currency translation and the higher effective tax rate reduced EPS by approximately $0.14 and $0.13, respectively. Growth in the diluted share count reduced EPS by approximately $0.06. Free cash flow for the fourth quarter was strong at $107 million or 144% of net income. For the full year, we generated free cash flow of $231 million or 84% of net income, and that's above our target of 80% of net income. Our working capital metrics all remain solid. WESCO has historically generated strong free cash flow throughout the entire business cycle. As a first priority, we redeploy cash through organic growth and acquisition initiatives to strengthen and profitably grow our business. Second, we work to maintain a financial leverage ratio of between 2 to 3.5x EBITDA. And in mid-December, we announced a $300 million share buyback authorization. Due to the company's normal trading blackout period, no shares have yet been purchased under this authorization. At the end of the fourth quarter, our leverage ratio was 3x EBITDA, well within our target range and down from 3.2x EBITDA at the end of the third quarter. Leverage on a debt-net-of-cash basis was 2.7x EBITDA, also sequentially lower. Liquidity, defined as invested cash plus committed borrowing capacity, was $638 million at the end of the fourth quarter, an increase of $30 million from last year's fourth quarter. Interest expense in the fourth quarter was $20.2 million versus $20.6 million in the prior year. Our weighted average borrowing rate for the quarter was 4.1%. For the full year, interest expense declined approximately $4 million to $82 million, and that's due primarily to lower debt levels. As we enter 2015, we're comfortable with our debt equally balanced between fixed rate and variable rate instruments. Capital expenditures were $21 million for the year versus $28 million in 2013. We continue to invest in our people, technology and facilities through both capital expenditures and operating expenses. I'll now turn to the first quarter and full year 2015 outlook. We expect first quarter 2015 sales to be up 5% to 7% over last year's first quarter, including the impact of the 3 acquisitions completed last year and the Canadian exchange rate at $0.87 per U.S. dollar. Should the current rate hold through the balance of the quarter, foreign exchange could negatively impact the first quarter sales outlook by an incremental 150 basis points. As a reminder, the first quarter of 2015 does have 1 less workday than last year's first quarter. We expect operating margin to be approximately 5% to 5.2% and the effective tax rate to be approximately 29% to 30% for the quarter. For the full year, we reaffirm the 2015 outlook that we provided you in December of sales growth of 3% to 6%; operating margin of 6.1% to 6.3%; an approximate 29% effective tax rate; and resulting EPS in the range of $5.50 to $5.90, which is 6% to 14% growth. Since we provided our initial outlook, the Canadian dollar has weakened from approximately $0.87 per U.S. dollar to approximately $0.80 per U.S. dollar. If that exchange rate remains at this level for the balance of the year, full year EPS growth would be negatively impacted by approximately 4%. We continue to expect free cash flow to net income of at least 80%. We're closely monitoring the current market environment and our customer activity levels, and we'll take the appropriate actions if our business is negatively impacted. With that, I'll now open up the conference call for your questions.
Operator: [Operator Instructions] Our first question comes from Deane Dray at RBC Capital Markets.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: I'd be interested in hearing a bit more about December, the spike in organic growth looked like Direct Ship, lower margin. Just can you dig a bit into the composition of that business? Was it budget flush? Was there any storm preparation? And has that Direct Ship pattern continued into January?
Kenneth S. Parks: Yes. It was the -- in the Direct Ship business, we saw it basically in Utility. We also saw it in our WIS business, and a little bit of that would be driven by budget flush, as you refer to it. We also saw it in just some of the non-resi construction projects and the large Datacom projects that we talked about for the last 18 months or so that we were ramping up through the One WESCO initiatives. So we did see that. When we talked to you in mid-December, we were talking about a December growth rate at that point in time in the mid-single digits, and as we referred to, both John and I in the call so far, we saw December spike up to about 12%. So you can see what that Direct Ship impact had on the quarter. In January, so far, we have not seen that same exact trend. In fact, the Direct Ship business as well as the stock business are both driving growth.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: Great. And then, as a follow-up, maybe you can touch on any changes you've seen from your business, direct or indirect, in oil, based upon the December comments? And then, Ken, maybe some reference to how you think about potentially doing any hedging on the Canadian currency?
John J. Engel: So I'll address the first part, Deane. Good morning. We are seeing oil and gas -- the pricing declines causing some of our customers to take cost actions. I think, many of you have seen a number of public announcements relative to cost takeout. They're also looking for additional cost reductions and value-adds to be extracted from their supply chains. So we're seeing that effect start. You've seen headlines on -- I think, all of you have seen headlines on a number of different project delays and cancellations. So I would say, definitely, it has begun in the value chain. We have not had any project cancellations in our backlog as of yet, and that's encouraging for us. And as Ken said, again, it's only 1 month's worth of data points and January's not quite complete, but we're particularly encouraged with our top line sales momentum in January with, overall, on a total enterprise consolidated basis, being up double digits. U.S. is up double digits, Canada is up high single digits. And so -- but look, we do think we're going to clearly see some impacts as we move through 2015. And we're going to work, obviously, other parts of the portfolio to try to offset any impacts that we see.
Kenneth S. Parks: And then And then, Deane, on hedging, we basically operate in Canada for Canada. We have people costs that are Canadian dollar-based, obviously, and we do most of our purchasing there. We don't have a lot of transactional exposure. We really have translation exposure. We are likely, like most companies, most of our peers, we don't see a big opportunity to hedge the currency in that scenario.
Operator: The next question comes from Mike Sang at Morgan Stanley.
Michael Sang - Morgan Stanley, Research Division: I just wanted to hit on the last comment there in prepared remarks where you mentioned some levers on the cost side that you can do to offset the 4% incremental FX impact. Could you maybe put a little bit more color on those levers and what they are?
Kenneth S. Parks: Yes. We did the same thing as we moved through the second half of 2014. But a big part of our costs are people-related costs. The people themselves carry along a lot of costs that go along with them that we tend to refer to as discretionary, in our world. So as we move through the year, there are levers that we can pull around what people are doing and where they're spending their time. We still want to invest people where the value proposition is strong. But we may shift some headcount around and we may pull back on some of those discretionary costs. You probably know, and we've talked about it pretty openly, that 70% of our SG&A costs, our operating costs, are really tied to people, so that's one of the biggest levers that we can pull.
John J. Engel: And we're really focused on, which was our top priority last year, Mike, of rebuilding momentum, positive momentum in our -- with our organic sales growth. That was clearly an issue for us in 2013, and we feel very good, particularly given the organization changes we made, which are the most significant in WESCO's history. And they were focused on accelerating our One WESCO strategy. But we're particularly pleased with the execution. If you look, we've got a really nice building sales momentum across the year. For us, that's our results. But clearly, the markets, if you were to map our markets, they don't have that level of accelerating momentum in just the core markets. So our execution on the top line is improving. January is off to a really solid start. We're going to do everything we can to maintain that momentum, double down our efforts on gross margin, keep all the cost controls in place and ensure that we get the pull-through on the top line growth.
Michael Sang - Morgan Stanley, Research Division: Got it. And then, just quickly on the CIG side. Growth in the quarter was pretty impressive. Could you maybe comment on the underlying market growth that you're seeing in government and institutional?
John J. Engel: Yes. We -- I would -- when it was all said and done, government sales were flat in the fourth quarter, roughly flat year-over-year, and for us, flat on a full year basis. So we have seen -- we clearly saw challenges in 2014 with respect to spending by various government agencies. But we exited the year with some -- with a stronger pipeline and a larger opportunity pipeline than we had even at middle -- the middle of last year. And so government was "flat." The growth was really driven in the commercial and institutional side, and we're getting some very nice traction, as I said, with some customer wins and our One WESCO initiatives, which I alluded to. So we're encouraged because now there's 6 quarters in a row of year-over-year sales growth in CIG. CIG actually shrank in 2013, and we grew 4.5% in -- in 2013, it shrank, it grew 4.5% in 2014. So as we look into 2015, we would expect that on the commercial and institutional side, given our pipeline and our activity levels, our current momentum vector, that should still be a strong contributor. And hopefully, government gets a bit better. We have good traction with government prime contractors, and state and local entities and non-DoD agencies that's helping offset some of the reduced DoD spending. Education is growing. And federal IT spend went down last year, but it's forecasted to start growing again in 2015, which will be a positive for us.
Operator: Our next question comes from Sam Darkatsh at Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: A couple of questions here, and I guess they're all interrelated. I noticed, and maybe I'm -- this is too much of a nuance here to call out, but John, you're talking about operating margin being a top priority. And I think, in the years past, you've talked about gross margin, in particular, being a top priority, and then operating margin would naturally flow through. Talk about what you're -- we've had some issues in terms of forecasting gross margin over the past couple of years or so. Talk about what your thoughts are directionally for 2015, where the pressures are and perhaps why you have confidence that gross margins stabilize or improve from here?
John J. Engel: Yes. Well, first, let me say, I am not satisfied with the progress we have been making in our gross margin initiatives. And the organization, and our leadership and the leaders that we have in our new One WESCO as a result of changes we made a year ago in January 2014 are not satisfied. We haven't cracked the code on improving and expanding gross margins. That's clear. With that said, there's no doubt that the headwinds have increased, and I expect that those headwinds will remain challenging in the current low inflation environment. We're clearly seeing those challenges, and they got tougher as we went through the year. And I think it's being reflected in some of our distributor peers' results as well. Our gross margin has been impacted by mix shift. That's a fact. But that still doesn't -- that's not an acceptable answer for not getting fundamental gross margin improvement and expansion. It's not a subtlety, Sam. We've always been very much focused on operating margin. When I became CEO back in 2009, and Dan and I went out and met with investors and a lot of you on the phone, we said we're very much focused on maintaining the pull-through on op margin expansion. And we said the recipe of operating cost leverage versus gross margin could evolve over -- could evolve as we move through the businesses cycle and as we work our portfolio. And there's no doubt, we're not going to meet all our operating margin expansion commitments over the mid- to long-term without fundamental gross margin expansion. So we're going to be doubling down our efforts on that, and we'll give much greater insight at our March Investor Day. Suffice to say, we are not satisfied. I don't think the market conditions are going to get any easier this year, so we're going to have to do a better job on our execution. I want to be very clear, though, 2014 -- and if you were to interview our senior leaders and even take a poll across the organization, it was very clear that our top priority was getting the organic sales growth engine moving again. And I'm very pleased with those results. And we're getting increasing traction from our One WESCO sales and marketing growth initiatives under the leadership of our new sales and marketing global leader, which we've never had until January last year, and our new business leaders, particularly in the U.S. And he's done a terrific job in the U.S., built momentum throughout 2014. So our focus, Sam, is really to keep that momentum going, double down our efforts on gross margin. We'll keep the disciplined cost controls in place. It was encouraging that we got good pull-through in the fourth quarter. It's 70%, as Ken mentioned, on the core. It's been a long time since we've seen a 70% pull-through quarter. We did pull some cost levers, variable compensation-related levers. But those -- the impact of that was much less, i.e., than it was fourth quarter of 2013. So I think, the model works exceptionally well the higher our top line growth rate goes. We've shown that over the economic cycle, and that's why that was such a top -- such a high priority and the #1 priority for 2014. So that's how we think about it as we kind of enter 2015. Again, we're encouraged with January's results, with the top line momentum still continuing very nicely in the face of what I will call stiffer headwinds. The headwinds are going to be tougher in Q1 than they were in the second half of last year. There are some tougher conditions, clearly. And we're encouraged by that, and the margins are holding up, as Ken mentioned, incrementally better than they were in December, as they should be. And I think, that's because we're getting growth in both stock and DS, and the mix is more balanced. So that's how we think about it. We'll develop that to a much greater degree, and you'll get much greater insight in our March Investor Day. As well as, now that we're essentially at 6% operating margin and $8 billion in sales, I'm rounding, what's our strategic objective to get to the next level of fundamental op margins and what's the framework for our -- over the mid to long-term for that value creation. So that -- we'll give a much better insight in March Investor Day.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Last question. I know, back in December, you talked about still targeting a 50% pull-through rate for fiscal '15 with, basically, I'm paraphrasing, a flattish to mildly higher gross margins. If gross margins -- how much of that was contemplated or is dependent upon the expanding gross margins? Or is it -- even if gross margins don't expand, you'll do what you have to do, as Ken mentioned earlier, in terms of discretionary cost to get that 50% pull-through rate.
John J. Engel: You summarized it right. Exactly how you summarized it. It's no change. We use that as an optimizing metric. I'd like the core business to be delivering that consistently. Now it could be plus or minus 5 points. That's a band around the 50, but that's what we try to target. To the extent we're consistently above that, we'd like to take that incremental -- some of the incremental profit generation and redeploy it in our strategic SG&A investments that support even further top line growth. So no change to the framework, Sam.
Operator: The next question comes from John Baliotti at Janney Capital Markets.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: John, as you pointed out, last year, 2014 was a tough year for forecasting. And obviously, you wanted to hit some levels that you didn't hit. But given that you reiterated the guidance that you gave us back in December, have you guys taken a more conservative look at '15 when you set the ranges versus, let's say, when you set the ranges for '14? Is that...
John J. Engel: So I'll give you our view, and Ken may want to amplify a bit. So I think, we -- Ken has clearly spiked out what our foreign exchange assumption was on how we built our fundamental -- I'll just say it this way, our fundamental operating plan, which is our internal operating plan and in how we set our -- then we set our external commitments and outlook range. And that's moved in the wrong direction thus far. It's still early in the year. But obviously, if we were not still in the range, we wouldn't maintain the range. So we -- and we're very much committed to delivering within the range. And we've set our operating -- our operating plan is set, in terms of our internal commitments as a management team to each other and to our board. And we're driving -- we're going to drive very, very aggressively to deliver that in 2015. It is a top priority for the organization. We missed our operating plan commitments, our internal operating plan commitments in 2014 as an organization, and we absolutely missed our external outlook range as well. And we are not satisfied with that. Now we are encouraged with the momentum vector as we move through the year. And yes, so we factored in the momentum vector, the improving execution of our initiatives and a more realistic outlook at the environment. And that's how we built our plan for 2015. We're absolutely committed to it, and that was used to then determine where we set our outlook range. Ken, you may want to amplify that.
Kenneth S. Parks: Yes. It's not and it's -- I guess, it's a subtle difference, but it's a real difference, I mean, when you talk about how we set '15 versus how we set '14. When we gave the first look at '14, we were still doing our Investor Day back in an August time frame. And as you remember how 2013 going into 2014 moved from August to the early part of the year, things did soften a bit in several areas. So we're now talking about initial outlook that we have set really made the change to set that more in a relatively short-cycle business closer to the end of the year, so it would be December 15. We spiked out in the discussion, the prepared comments, the one area that has moved up significance since that point in time, which is FX. So I think there's a view of realism that we always try to keep in our outlooks, but also one of the big differences is we're actually setting the initial outlook much closer to the beginning of the year than when we have done it in the past.
John J. Engel: And this year, the only final point I'd make is, the good news is, this year is starting off in a much better place with much better results in January than we had 1 year ago. We clearly had a very tough winter in -- tough winter that we faced in January 2014. And our execution vector, the momentum vector of our execution is improving, right, with a nice ramp. That's the differences year-over-year at this point entering the year and starting the year essentially.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Okay. That's very helpful. And just one quick follow-up. John, you pointed out that you saw nice acceleration through the quarter in terms of the sales rate. And you talked about how some of your customers are also looking to mitigate some of the top line impact with some of their own productivity. Is it too short for them to really, I guess, en masse, consolidate the number of distributors? I mean, it's obviously happening, but is it happening at a fast enough pace that you think that's manifesting itself in your growth rate?
John J. Engel: Yes. I think that, that macro trend will continue, but it's very difficult to accelerate that in a meaningful way in the very short term when certain segments of our customer base, which is what we're talking about now, are faced with such a dramatic change in their end-market conditions, which is driving them to take very rapid and, in some cases, draconian actions. So it's difficult to move at that speed down through their whole supply chain, but it does increase their priority and the emphasis on what they're looking for, because they also have to balance risk of their supply base, right, in making those changes. But I would say, from our perspective, what we're hearing and seeing so far is just it feeds into that macro trend of our customers wanting to have a smaller number of larger suppliers and accelerate the consolidation and ensure they have integrity across the supply chain. Now I think that's been the increased -- a factor of increasing importance as we've moved through the recovery from the recession back in '09.
Operator: The next question comes from Matt Duncan with Stephens Inc.
Matt Duncan - Stephens Inc., Research Division: So first question, I want to make sure I heard you right. The January sales growth rate so far is north of 10%, yet the guidance for the first quarter is 5% to 7%. Can you help me think through that?
Kenneth S. Parks: Yes. So you did hear it right. We are north of 10%. We do have 1 less day in the quarter. As we get to the end of the quarter, that will have an impact on the growth rates. And we do have easier compares because of weather, and that was more front-end loaded that it was back-end loaded.
Matt Duncan - Stephens Inc., Research Division: Okay. And the 10% is an all-in number, including whatever currency headwind you've had so far, right?
Kenneth S. Parks: Correct.
Matt Duncan - Stephens Inc., Research Division: Okay. And then, Ken, on the guide, I think, you said in the first quarter, if the Canadian exchange rate stays where it is today, it would take maybe 1.5 points out of the growth. Is the same holding true for the full year if it were to stay there all year?
John J. Engel: If it were to stay there all year, it would be probably a little bit north of that. But call it 150 to 200 basis points out of the year on the top line.
Matt Duncan - Stephens Inc., Research Division: Okay. And then, what about copper? Copper prices have obviously been falling recently. I think, the last time you guys gave us an approximation of the copper content in your revenue, it was around 10%. But I'm guessing that's gone down via some of the acquisitions you've made. Can you maybe update us on what percent of sales are exposed to copper prices and what impact that might have?
Kenneth S. Parks: Sure. Directly related to copper and copper content would probably, today, look more like about 5% of sales, they -- copper wire products. So when you think about that, if you think about that 5% of sales, 2/3 of it is probably Direct Ship, the rest is kind of stock sales. And that Direct Ship piece is priced where the movement within the currency doesn't really affect us too much because it's in and out at the same price. So the stock piece of it does have some float to it. However, we don't carry a significant amount of inventory in that area. So our inventory valuation risk is relatively low.
John J. Engel: Let me amplify a little bit more, Matt. Your memory is excellent, as always. So products with some level of copper content, our portfolio has been diversified, is still roughly 10%, maybe a little under 10%. As Ken mentioned, copper wire products, those products that are substantially copper, is now less than 5%. And so that gives you a sense of kind of how the portfolio has moved. And Direct Ship is typically, for those products, about 1/3 of total copper wire sales. So that gives you a framework. So I think, we have -- the only thing I would say, and this is speaking with over 10 years of experience at WESCO, I think, in my tenure here, I have seen copper from a sub $1 Comex pricing to north of $4 and a whole lot of volatility in between. And I think we've demonstrated that we optimize more margin versus top line sales with the way that we manage those products. We've taken you all through that, I know, at length multiple times. The difference is -- we still manage it that way. The difference is the portfolio has been diversified. So I'd say the impact is even less.
Matt Duncan - Stephens Inc., Research Division: Okay. Good. I just wanted to clear the air on that because I think there's been some concern there. So...
John J. Engel: And I think, to your point, and we have some new investors that maybe have not in the stock when we were sub $1 to $4. And so this is a topic we've addressed at length. We manage it the same way as we have across my 10-plus years here. And so, again, the difference is, I think, with our diversification, as you alluded to, it's become less of an impact.
Matt Duncan - Stephens Inc., Research Division: Okay. And then, last thing for me is just capital allocation. The buyback output in place when you were blacked out, the stock has obviously been down since you put it in place, so I'm assuming that you're even more likely to use that buyback today. Should we expect to see you be actively buying your stock at current levels? And then, how do you balance that with the acquisition funnel that you say is quite full? I'm assuming that you're probably going to try and take advantage and do some acquisitions here as well, with your leverage beginning to follow closer to the middle of your target range. So just help us think through how those 2 things are going to balance...
Kenneth S. Parks: So when we talked about the share repurchase authorization, we talked about it clearly, primarily focused on managing share creep as we move through the year, and that's still going to be a primary focus of that share repurchase. With the stock where it is, we may take the opportunity to do a bit more in that area. We do so -- we talked about a liquidity of $640 million at the end of the year, round numbers. That's almost at a record level, and our leverage ratio, now down well within our control band. We think we have every opportunity to continue to execute on our acquisition pipeline that John referred to as being very robust, as well as utilize our share repurchase authorization appropriately for both share creep and as we look at opportunities in the market.
Operator: The next question comes from David Manthey at Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: First off, on the currency here, could you give us a rough approximation of the Canadian business and how that lays across your 4 segments? I'm just trying to model currency appropriately here, given that that's the major one we need to look at. Could you help us -- just bigger than a bread box kind of numbers there?
Kenneth S. Parks: And by the way, when you mean lay out the Canadian business, more specifically, David?
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Yes. By the 4 segments, by Industrial and Construction, Utility and CIG.
Kenneth S. Parks: No. We have not done that before. We have said that the Canadian business is heavily weighted to the construction side, the larger projects, but we have not broken it down into the pieces. And I don't think we would do that here right now as well.
John J. Engel: Just to give you a little -- it was a heavily construction-oriented and looked more like the -- kind of a WESCO 10-plus years ago before we started getting more aggressive with the acquisitions. The only difference would be, I'd say, so the construction mix was typically a bit higher than the U.S. because the U.S. was more diversified and have more industrial. The CIG mix was a bit higher. We had virtually no utilities till we start doing acquisitions in Canada back -- starting with Brews Supply several years ago. And then, the balance was industrial. And then, so -- obviously, with the acquisitions, we've added utility content and some industrial content, and then EECOL gave us construction contractors and industrial and utility. So that gives you a sense of the mix has evolved actually nicely over the last 5 years. We've not really broken that out explicitly, David, but that's something that we could do and be in a different format. We just haven't broken that out for U.S., Canada and international yet, so we can't really do that in this call.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: That helps though. That's great. And then, as it relates to Canada, you said you're not seeing an impact, you sort of said, yet. But I'm wondering if you could talk about Canada, East versus West. And it's not really an EECOL comment, but it's more just geographically, the business in the East versus the West, are you seeing similar trends there? Is one worse than the other?
John J. Engel: Yes, we haven't seen a lot of variation yet. The West is still holding up. And I said yet, and I'll emphasize that, because I know we're going to see some impact. It's just we haven't seen them yet. But EECOL is holding up nicely. The West is holding up nicely. I think, again, it comes down to what we talked about in our December call. How long does oil and gas pricing stay low, and that ultimately will determine kind of the length of this bathtub effect on the project side and does it move from upstream to midstream to downstream. Wherever production is occurring, they're still going to be MRO demand because I do not -- we do not -- we've not seen any indication of production rates being curtailed. And then, the Canadian currency effect, for their export markets, and as you move East, that becomes more of a positive catalyst for our business, as we spoke in December on our industrial customers and kind of manufacturing in Ontario and Québec. But to answer your question with a short answer, we're not seeing a lot of variation yet. And January, again, it is an easy comparable. Let's be clear because winter was tough last year, but to be up high single digits on a local currency basis, Canada all-in, is encouraging.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Got it. Right, right. And then, last question again, not to beat this copper thing to death here, but I was going to ask, is the -- obviously, copper has moved from the time you first gave guidance until now. And I was going to ask you what level you assumed in your numbers. Sounds like it's a lot less even than with small factor that I had included. Is it safe to say that, that move in copper from mid-December till today is fairly insignificant as it relates to your guidance, and obviously, currency is the bigger factor here?
Kenneth S. Parks: Yes. It has -- as you said, it's moved probably about 10% on a per-pound basis since we set guidance. And overall, we estimate that to be relatively insignificant against our outlook.
John J. Engel: At these levels.
Kenneth S. Parks: At these levels, yes.
Operator: Next question comes from Steve Tusa, JPMorgan.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: So what exactly are you assuming for the oil? How do you kind of look at the oil and gas-related exposure? And what are you kind of baking in? Or are you just kind of going to wait and call it as you see it?
Kenneth S. Parks: As we talked about in December, it represents probably about 10% of our total WESCO revenues and we broke it down a bit between upstream, midstream and downstream. We, really, at this point in time, have to wait a bit to call it to see as it happens because it has not started to -- while we've seen the price of a barrel of oil move, our businesses that are impacted most immediately haven't seen anything directly yet. So we have to wait and see how long it's at these levels and how it impacts our business directly.
John J. Engel: And again, if you look at where we are in the value chain and the lag effect that occurs, right, because of where we sit in the distribution portion of the value chain, it's understandable why we haven't seen any affects yet. So -- but again, it's going to be a function of how long does it stay at a low level. The longer it stays at a low level, more and more projects are either deferred or canceled, and that creates a challenge further down the road for us, on the project side of our business. On the MRO side of the business, we would think that there's -- we've seen no indications of that being curtailed. And we think that will continue. And so we'll respond accordingly, Steve, and react and respond like we do with any other change in our business.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: And then, I didn't quite catch the EPS impact from the Canadian dollar mark-to-market today was what again?
Kenneth S. Parks: We said that's -- when we've set the guidance, we were looking at about $0.87 per U.S. dollar. Now it's about $0.80, as you know. We said, if that rate holds for the balance of the year, that alone, that piece alone, no other movements, could shave about 4 points of EPS growth out of the range.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: So like $0.20?
Kenneth S. Parks: That would -- yes.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. So I'm just curious, like, you said that if you weren't confident you could get into the range that then you would've changed it. But I mean, that alone gets you to the low end of the range. So I'm just curious as to -- you guys have -- the numbers have kind of been coming down steadily for the last couple of years, the EPS numbers and I'm just struggling with the rationale as to why not just mark that to market and kind of get this process of washing these numbers out over with? Or is there something else that's just going really great in the business?
Kenneth S. Parks: Well, I think, John mentioned and spent some time on the start to the year feels very solid. We have said that we are at least feeling good about margin comparisons moving month-to-month. So those are 2 positives. But the other thing I would say is as you're looking at FX, FX has moved from the December rate to the January rate and has moved around all over the place. Granted, to your point, that rate specifically has kind of moved down over the last 18 months. It was relatively stable last year, then took a step down again in January. I think, it's just a -- if that's the only thing that's really making a significant negative move in our portfolio of issues as we set guidance, I'd like to see how long it's going to stay there before I actually take it out of the outlook.
Operator: Next question comes from Robert Barry at Susquehanna.
Robert Barry - Susquehanna Financial Group, LLLP, Research Division: Maybe it's appropriate I'm coming near the end here because what I wanted to ask you was just to kind of summarize, versus when you gave the outlook, what's really changed. And it sounds like, obviously, currency has gotten weaker, we just quantified that. You're starting from a lower base because you came in a little weaker in 4Q. But it sounded like, based on our answer to Deane's question, that was due to some temporary mix issues, and margins have recovered. And then, maybe on the positive side, you're feeling better about organic top line growth. Would you say those are the 3 main deltas? Or what else might there be?
John J. Engel: Yes.
Robert Barry - Susquehanna Financial Group, LLLP, Research Division: Okay. So maybe offsetting some of the currency headwind kind of in your mind, big picture, is that the core growth is actually tracking stronger?
John J. Engel: Clearly. Yes.
Kenneth S. Parks: Yes.
Robert Barry - Susquehanna Financial Group, LLLP, Research Division: And you talked about getting 50 basis points on price in the quarter. I think that was the case -- has been the case, I think, it was through all the quarters last year. Is that fair to assume that continues? I know when you guided, you thought it would just be flat. But it sounds like...
John J. Engel: Robert, I think, it's been our practice not to forecast what the price effect is going to be as part of our outlook going forward. We didn't get this question yet, so maybe I'll use the opportunity to at least address it. If you look at what our suppliers typically attempt to do, and this is typical across any annual cycle, is that they look at the first quarter and moving into January, where they try to lay in their price increases for the year, and other suppliers have other strategies throughout the year, clearly, for other price increases throughout the year. But the key -- first quarter in January, in particular, typically, a month where they really attempt to get the table set for that coming year. And if you look at our supplier price increases, they generally range from, some have none, but from 1% to 5% is roughly in line with prior years on what they're going to attempt to push through the channel and into the customer base. Now we go through our normal process of how much can be pushed through, managed through, et cetera. So I would say it's not very different than prior years. Maybe the different is the low inflation environment continuing. You could argue that the low inflation environment isn't getting any better. And so relative to that, these might be somewhat optimistic expectations. But we have a very sophisticated approach and process on how we work with them, and we try to push everything we can through and then have our value-add on top of that. So I -- and it's just to give you a little more color on pricing, but we don't typically forecast what that effect is on a go-forward basis.
Robert Barry - Susquehanna Financial Group, LLLP, Research Division: Fair enough, I appreciate that. Maybe just one final one. If you can comment on Industrial. It did ease sequentially against the comp, that was actually, as you show on your chart here, up [ph] pretty easy. Any thoughts on just how you're feeling about industrial end market. And would you attribute that easing sequentially to Canada? Or what would you attribute it to?
John J. Engel: I think, maybe you're -- we don't look at it that way. Maybe you're putting on a bit of a fine-tuned lens. I would say that I feel really good about Industrial all-in. In 2014, we returned to growth. All 4 quarters grew roughly 5%. We were down 3% on the quarter x acquisitions in 2013. So we clearly had some execution issues because that was not the market. So I think we've gotten back to real solid growth rate, 5% across the year. And it was balanced growth. If you look at -- we take our Global Accounts integrated supply and we break them into '14 and '15 market verticals and the majority of those market verticals had nice growth in Q4. We added a whole series of new customers in 2014. Our RFP activity levels for Global Accounts in the full year 2014 are the highest they've been in 5 years. And so, I would tell you that we just -- we think that we're back on track relative to execution in Industrial. And we don't view Q4 kind of the way you summarized it. I think it was a really solid performance. So with that, I think we have a few more questions, but I know Dan already has a number of things scheduled, and Dan and Ken and we're all available to follow-up as we move through the rest of today and tomorrow. So I'm going to close at this point. Thank you again for your time and your continued support. And as I mentioned, we look forward to seeing, hopefully, many of you at our Investor Day on March 5 in New York City. Have a great day.
Operator: Your conference has now concluded. Thank you for attending today's presentation. You may now disconnect.